Operator: Welcome to News Corporation's Second Quarter Fiscal 2026 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I'd like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corporation's fiscal second quarter 2026 earnings call. We issued our earnings press release about thirty minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive, and Lavanya Chandrashekar, Chief Financial Officer. We will open with some prepared remarks, and I'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA, and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings releases for the applicable periods posted on our website. With that, I'll pass over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. We are delighted to report excellent second quarter results with both revenue and profitability growth accelerating from the prior quarter, and we see favorable signs for the second half of our fiscal year. Revenues increased 6% to $2.4 billion for the quarter, and total segment EBITDA of $521 million expanded 9% despite a one-time inventory-related charge at HarperCollins. Net income from continuing operations was $242 million, a 21% decrease from the prior year, but that was due to the absence of a rather favorable $87 million gain on REA Group's sale of Property Guru last year. Our adjusted EPS for the quarter was 40¢, compared to 33¢ in the prior quarter, and our profitability margin rose from 21.4% to 22.1%. These results were driven by sustained growth at Dow Jones and Digital Real Estate Services, which both reported double-digit profit growth. And both have started the calendar year strongly. Given the current trajectory of our core drivers, we believe prospects for the third quarter are auspicious. The results are indicative of our ongoing transformation, both digitally and commercially, as we continue to increase recurring revenues and reduce our dependence on advertising, which has a certain cyclicality. Our consistently strong cash position has allowed us to enhance our buyback program, which has been running at four times the prior year pace, whilst preserving our financial flexibility and allowing us to focus on maximizing shareholder value. We also note that Moody's, which only recently upgraded our rating, has put our outlook on positive, reflecting the sturdiness of our balance sheet and our strong operating performance. Speaking of the future, it is clear that expectations of AI's impact are evolving, and that the more perceptive players have come to realize that provenance is paramount, and that our proprietary content is valuable. Let us be clear: Anthropic has already agreed to pay $1.5 billion for using pirated books. We and our authors at HarperCollins naturally expect to receive our fair share of that payout starting later this calendar year. What is the point of acquiring cutting-edge semiconductors if they are being deployed to repurpose gormless, fatless, feckless content sets? What is the point of spending billions on energy generation when that energy is powering the prosaic, not the profound? We do believe an increasing number of insightful AI creators understand this content contradiction and will indeed pay a premium for our premium content. AI companies must provide meaningful services with reliable, relevant, contemporary information, not biased bilge or retrospective rubbish. Ignoring the obvious need to fund fecundity will mean that AI stands for artificial intransigence. Turning to our segments, Dow Jones delivered robust results for the quarter, with revenue rising 8% and segment EBITDA increasing 10% compared to the prior year. It was a record quarter for the business on multiple fronts, including a 29.5% profit margin, an improvement of almost 50 basis points versus the prior year. It also marked the fourth consecutive quarter of double-digit EBITDA growth for the segment. Digital advertising reached a record level of $87 million for the quarter, rising 12%, supported by the strength of demand, in particular from the financial services sector. The Dow Jones professional information business continued to provide crucial intelligence for customers this quarter, with revenues increasing 12% overall, thanks to a 20% surge at risk and compliance. All of our B2B verticals made positive contributions, with Dow Jones Energy posting double-digit growth and Factiva and Newswires both growing modestly during the period. Intelligence, insight, meaningful metrics, and astute analysis remain non-negotiables for global corporations and their executives, especially against a backdrop replete with uncertainty and volatility. On the consumer side, digital volumes increased 12% to over 6 million subscriptions, led by our continued push into enterprise partnerships embedding our content in corporate work streams, while the Dow Jones team is intensely focused on increasing yield and conscious of the responsibility to deliver reliable news at a moment when much journalism is mere activism. We recently announced a partnership with Polymarket, that will selectively bring data to users across The Wall Street Journal, Barron's, MarketWatch, and Investors Business Daily. Fresh investment in The Wall Street Journal's influential opinion pages saw the launch of Free Expression, an expansion of the vertical that introduced fresh writers to the editorial board's august audience. We are establishing new AI partnerships, which we expect to generate additional revenues, including an expanded deal with Bloomberg for AI rights for our peerless Dow Jones content. We also bolstered Factiva's Gen AI capabilities with expanded licensing rights for more than 8,000 premium news and business information sources. To highlight the vast potential of Dow Jones, we will be holding an investor briefing next month in New York. I have no doubt that you will find the Dow Jones proposition to be commercially compelling in the age of AI. In digital real estate services, we have seen signs of strong growth in our US business even though the housing market remains far from normal. Despite the lingering challenges, realtor.com's revenues grew by 10% in the quarter, building upon its performance in the first quarter led by premium products and notable improvement in lead volume, which posted double-digit gains. The quarter also benefited from gains in audience share and continued expansion across realtor.com's adjacencies. We firmly established our position as the leading publisher of residential real estate news and are striving to expand unique features that support sellers, buyers, and realtors. Realtor.com's share of visits among the real estate portals continued to grow in the second quarter based on Comscore, while unique visits per user for the same period continue to surpass the industry at 4.8 times, almost double that of homes.com and far superior to Zillow. In Australia, revenue growth at REA of 7% benefited from continued double-digit yield growth and an improvement in listing volumes in Sydney and Melbourne, coupled with strong growth in financial services. Competition is bringing out the best in REA, which posted record audience numbers in November with unique users of over 13 million, an increase of 9% versus the prior year. The team in Australia is savvily adopting AI applications that enhance the service for our customers and prove that AI is certainly more friend than foe. No one wants housing hallucinations. HarperCollins revenues grew a healthy 6%, a significant recovery after a sluggish first quarter, and we have mounting optimism for the second half of the year. We benefited from a strong front list in general books, as well as particularly strong growth in our faith segment as readers searched for meaning amidst the contemporary chaos. The core creative value of our books was highlighted by the continuing success of our Wicked collection and the stunning sales of Heated Rivalry, which inspired the steamy streaming series. Ice hockey stereotypes are melting away as players pursue each other and a puck. Other notable releases included Mitch Albom's Twice, Senator John Kennedy's How to Test Negative for Stupid, and Jasmine Masses' Bonds of Hercules. And the third quarter is off to a strong start, with Peter Schweitzer's The Invisible Coup and Pennsylvania Governor Josh Shapiro's memoir Where We Keep the Light. In the months ahead, we anticipate a Bridgerton boost with the recent premiere of season four on Netflix and are honored to publish the first book by Pope Leo the Fourteenth, Peace Be With You. As the pope has sagely observed, we cannot let the algorithms write our stories, and we remain passionately committed to protecting the IP of our authors in the age of AI. Across the news media segment, revenues for the quarter were flat despite a challenging print advertising market, and EBITDA fell 5% compared to the prior year. In the UK, The Times and The Sunday Times continued to build on Q1 performance, with digital subscribers rising 7% to total 659,000. While advertising trends were mixed overall, The Times achieved a record second quarter with digital advertising revenue up mid-teens. News Corp Australia reached nearly 1.2 million total subscribers, surpassing the prior year by 4%, and there was an improvement in ad trends compared to the first quarter and a modest increase in circulation revenue. Last week, we celebrated the launch of the California Post, which is bringing editorial enlightenment to the West Coast and is built on the renewed profitability of the New York Post. The early audience numbers are impressive, and we will update you on our progress in the next earnings call. The launch itself highlighted the potency of and comparative advantage of our network effect, as the WSJ, realtor, and Bible Gateway, our HarperCollins faith site, all contributed to generating traffic for the new website and app. In conclusion, we are pleased with the strength displayed across the business throughout the second quarter, and the signs so far are patently positive for the second half of the year. We have a robust balance sheet, particularly strong free cash flow, and have continued to execute on our expanded buyback program with a keen focus on maximizing shareholder value. As AI angst afflicts some sectors, we believe the company is well-positioned to profit over the coming quarters and years. We are poised with poise. Remain grateful for the thoughtful leadership of our chair, Lachlan Murdoch, the enduring support of our Board, and the sterling efforts of our teams around the world. And now for deeper insight, I cede to our Chief Financial Officer, Lavanya Chandrashekar.
Lavanya Chandrashekar: Thank you, Robert, and good afternoon, everyone. Our second quarter results demonstrate the continued strength and resilience of our portfolio and the benefits of disciplined strategic diversification. Despite the continued uneven economic backdrop, we posted accelerated top and bottom-line growth led by our core pillars. Now that I have been in this role for over a year, I will start off by saying that I'm even more confident in News Corporation's growth opportunities and our ability to maximize shareholder value. The second quarter marks our eleventh consecutive quarter of year-over-year total segment EBITDA growth on a continuing operations basis. These consistent results are the outcome of strong operational discipline and reflect the repositioning of our portfolio. Our focus on operational efficiency has successfully driven margin expansion and increased free cash flow, and I believe there is significant opportunity for this to continue. We remain disciplined in our focus on the three core growth pillars: Dow Jones, digital real estate, and book publishing, which collectively accounted for 95% of our profitability in the second quarter. News Corporation has evolved well beyond the scope of a traditional media company. We are now a digital-first company with a strong and growing recurring revenue base, complemented by high-margin content licensing revenues. Disciplined investment and value-accretive M&A have increased our exposure to the large and fast-growing data and information services market. We believe the B2B business of Dow Jones has a significant runway for growth and it is highly profitable. And as Robert mentioned, we are very excited to be able to showcase Dow Jones on March 16 in New York at the Nasdaq market site. We continue to make strong progress in returning value to our shareholders and have accelerated our share buyback program. In the second quarter, we repurchased $172 million in shares, up $132 million from the previous year period. We believe our stock remains materially undervalued relative to its net asset value. And as a reminder, share repurchases in fiscal 2026 are expected to benefit from the approximately $380 million repayment of Foxtel shareholder loans. Turning to the results, News Corporation's reported fiscal second quarter revenue of almost $2.4 billion, up 6% from the prior year, and total segment EBITDA of $521 million, up 9% year-over-year. Margins improved from the prior year by 70 basis points to 22.1%. Second quarter adjusted revenue rose 3% while adjusted total segment EBITDA increased 7% versus the prior year. For the quarter, we reported earnings from continuing operations per share of $0.34 compared to $0.40 in the prior year as last year included a gain related to REA's sale of Property Group. Adjusted earnings from continuing operations per share were $0.40 in the quarter, compared to $0.33 in the prior year. Moving to the individual segments starting with Dow Jones. Dow Jones delivered another very strong quarter with reported revenues of $648 million, increasing 8% versus the prior year period, and the highest quarterly revenue growth in nearly three years. Digital revenues accounted for 82% of Dow Jones segment revenues this quarter, improving by one percentage point from last year. Professional Information Business revenues, which reflect our B2B products and services, rose 12% year-over-year, a rate 200 basis points faster than quarter one. Within that, risk and compliance revenues grew 20% to $96 million driven by new customers, new products, and higher yields. We saw continued momentum from risk feeds and API solutions and increased penetration of advanced screening and monitoring products. We also benefited from the integration of Dragonfly and Oxford Analytica as we extend our breadth of products to include geopolitical monitoring and surveillance. At Dow Jones Energy, revenue grew 10% to $75 million with customer retention remaining very strong at approximately 90% in addition to improving yields. Results include a modest benefit from the recent acquisition of EcoMovement. Factiva again posted revenue improvement benefiting from new customer acquisition, with a focus on GenAI. Within the Dow Jones consumer business, circulation revenues increased 3% versus the prior year with digital circulation revenues rising 7%. As I mentioned last quarter, we raised the full price rate for the Wall Street Journal digital subscription for new customers and continue to increase prices for a portion of tenured customers. We're also implementing changes to our promotional offerings including shorter duration offers and higher introductory pricing which we expect will have a positive impact on ARPU. I should reiterate that overall digital ARPU has been impacted by the expansion of enterprise and corporate partnerships. Those deals extend our B2B footprint and are margin accretive with low subscriber acquisition costs and very high retention rates. Direct subscription ARPU, which excludes the impact from enterprise, has been improving at a healthy rate. Digital circulation revenues accounted for 76% of circulation revenues for the quarter, improving from 73% in the year. Digital-only subscription improved 12% year-over-year and by 133,000 sequentially driven by enterprise customers. Advertising revenue rose 10% to $133 million, a very strong improvement from quarter one, including record digital performance of $87 million, up 12% led by financial services. Print advertising revenue rose 7% also benefiting from higher financial services spend. Digital represented 65% of advertising revenues, up one point from the prior year. Dow Jones segment EBITDA for the quarter grew a robust 10% to $191 million with margins increasing to a record high of almost 30%, an increase of nearly 50 basis points year-over-year despite a higher rate of cost growth as we had flagged on last quarter's earnings call. Moving on to digital real estate. Digital real estate had another solid quarter despite lower national listing volumes in Australia due to a tough prior year and still uncertain macro conditions. Segment revenues of $511 million rose 8% versus the prior year, an improvement to the growth rate in the prior quarter, and were up 7% on an adjusted basis. Segment EBITDA was $206 million, up 11% and up 12% on an adjusted basis. REA revenues grew 7% year-over-year to $368 million. Growth was driven by a combination of residential yield increases, favorable customer contract upgrades, and geographical mix. National new buy listings in the quarter declined 3% overall but improved in Sydney, up 7%, and Melbourne, up 4%. Results also benefited from strong growth in financial services driven by mid-teens growth in settlements. Overall, Australian revenues improved by a strong 10%. A partial offset was at REA India with revenues declining mainly due to the sale of PropTiger and the closure of the housing edge business with overall performance broadly consistent with REA's outlook as they communicated last quarter. Please refer to REA's earnings release and their conference call for more details. Realtor.com continued to make strong progress this quarter, with revenues rising 10% to $143 million and improved results contributing to segment EBITDA growth. We are also accelerating the pace of innovation including the announcement of realtor.com plus last month. The new platform, which leverages our partnership with the National Association of Realtors, and the MLSs enhances the home search experience by driving agent-client collaboration, transparency, and insights. This quarter revenue growth was driven by strength in core real estate products, with leads improving by 13%, improving yields, and higher annual contract values given the improved penetration of 21% of revenues in the quarter, improving 100 basis points versus the prior year. Average monthly unique users for the quarter also improved, rising 1% to 62 million. Comscore data for the second quarter highlighted that Realtor once again had the highest engagement among real estate portals at almost five visits per unique user. Realtor continued to gain audience share with visits to its properties reaching 29% of total visits to all real estate portals in quarter two, more than triple that of homes.com and double that of Redfin, while narrowing the gap versus Zillow. These strong outcomes are a result of the improvements in SEO as well as continued product enhancements and a successful brand campaign. At Book Publishing, business conditions improved markedly this quarter with revenues growing a robust 6% to $633 million despite lapping a tough comparator of 8% growth in the prior year. Segment EBITDA of $99 million declined 2% versus the prior year with margins of 15.6% down 140 basis points. However, the results this quarter included a $16 million one-time write-off primarily related to inventory at HarperCollins International operations, which impacted margins by 260 basis points. Results were driven by recent acquisitions, strong sales at Christian Publishing, as well as an improvement in general books due to higher front list sales. We also benefited from the timing of ordering. Digital revenues at HarperCollins grew 2% led by higher e-book sales up 7%. In total, digital sales represented 20% of consumer revenues compared to 21% in the prior year. This quarter the backlist contributed 59% of consumer revenues down from 61% in the prior year, driven by a strong frontlist. News media revenues were flat at $570 million benefiting from higher cover and subscription prices in The UK and Australia, offset by weak print advertising trends. Segment EBITDA declined 5% to $70 million driven by challenging advertising conditions and some investment related to the launch of the California Post in January. Turning to the outlook, some of the themes across each of our segments. At Dow Jones, overall trends remain healthy, and we expect continued strong revenue growth in B2B. As a reminder, last year's digital circulation revenue growth included approximately 300 basis points related to a non-recurring benefit. At Digital Real Estate, Australian residential new buy listings for January were down 8%. Please refer to REA for more detailed outlook commentary. At Realtor, we hope to see improving market conditions leading to strong lead volumes which should translate to continued healthy revenue growth supported by ongoing reinvestment. At Book Publishing, as Robert noted, trends remain encouraging and we expect to benefit from HarperCollins' backlist and more favorable year-on-year comparisons. At News Media, we expect to incur modest investments related to the launch of the California Post. While difficult advertising trends are likely to continue, we remain focused on driving cost efficiencies. With that, let me hand it over to the operator for Q&A. Thank you. We'll now start the Q&A session.
Operator: Please limit your questions to one per participant. If you've joined via the Zoom application, please use the raise hand functionality to ask a question. If you've joined via the audio line, please press 9. Questions will be answered in the order they are received. We will now pause for a moment to assemble the queue. Okay. Our first question will come from David Karnovsky with JPMorgan. Please unmute your line and ask your question.
David Karnovsky: Hey. Thank you. Robert, I think we've seen this week the market react to AI or the perception of AI, and what that is gonna mean for companies that operate in the business services or data spaces. And it'd be great to kinda get your expanded thoughts on this reaction and you know, what you view as reasonable to worry about versus maybe what the market is potentially overweighing or maybe missing here? Thank you.
Robert Thomson: Yeah. David, a very salient question. There is a fundamental misconception about the impact of AI on News Corporation. AI is retrospective and synthesizes generic content sometimes imperfectly. But it is past tense, often past imperfect. We have contemporary creative proprietary content, which is only accessed if AI companies pay us. Our woo or soo strategy, we've been consciously building a moat, and it is a moat with saltwater crocodiles, with sharks, and an even more dangerous species, lawyers. More importantly, the moat separates commodity content from our premium prescient IP. Now let's be clear. Anthropic is already set to pay out $1.5 billion for inappropriate use of pirated books, and we and our authors will get a large chunk of that money later this year. And we have a partnership with OpenAI whose expertise will enhance our editorial business and real estate products, while our editorial will enhance OpenAI products. Now we're not complacent, we're certainly not naive or digital dilettantes. But we are absolutely confident about our ability to create compelling premium content and experiences in an age in which many AI companies will be recycling rubbish. I mean, it is worth remembering that AI models need data. Otherwise, they are just lines of inert code. They need real-time, real-world data, and that's what we produce every single minute of every single day. Without compelling content, these AI operators are not omnipotent. They are not unique, they are eunuchs.
Michael Florin: Thank you, Dave. Luke, we will take our next question, please.
Operator: Our next question will come from Entcho Raykovski with Evans Partners. Please unmute your line and ask your question.
Entcho Raykovski: Hi, Robert. Hi, Lavanya. My question is a follow-up to David's question, actually. I mean, given this is such a topical issue in the market at the moment, I'm just curious as to whether you're comfortable around the investment into Dow Jones which is required including to deal with any AI threat? I think you mentioned last quarter that some of the CapEx is linked to continued investment in technology. I suppose are you able to quantify this? And again, just curious whether, you know, the launch of tools like Claude Legal for example, given it's worried the markets, whether you see it as having a negative impact on your operations? Thank you.
Robert Thomson: Encho, to the last point, absolutely not. We are fully confident in the Dow Jones professional information business for the reasons that I outlined in the previous answer. And we're also very confident about the trajectory this quarter and next quarter. And we don't normally give forward guidance, but that's as much forward guidance you're gonna get. And it's particularly positive at this stage. And it's positive because we do have unique information, and it's a high-margin business, but it's not a retrospective content set. It's a contemporary content set. And I disconnect between the reality of the threat of AI and the reality of the needs of AI. And we are a company that fulfills the needs and face a very limited threat. We're not a collection of legal case studies. We're a collection of contemporary content, much of it journalistic. And in the book business, we are a collection of unique works written by authors that cannot in any way be used without our permission and their permission. And we certainly look forward to making the most of that. And the fact is that we already have AI deals, and negotiations are advanced for other AI deals.
Lavanya Chandrashekar: Yeah. And Encho, maybe I can take your question on CapEx. Looking forward to seeing you next week in person. Yes. We do expect total CapEx to be up moderately this year. And that was the case in the first half as well. Having said that, Dow Jones CapEx specifically within that is going to be modestly down this year. Overall, we will generate very strong free cash flow growth for the year, despite the slightly higher increased investment in CapEx. Then I'd just conclude by saying we do invite you to join us for the Dow Jones Investor Day to really see the strength and opportunity of this business. Thank you, Encho.
Michael Florin: Thanks, Encho. Luke, we'll take our next question, please.
Operator: Our next question will come from the line of David Joyce with Seaport Research. Please unmute your line and ask your question.
David Joyce: Thank you. I'm kind of following on the capital expenditures question, where else would you be allocating to drive returns? How would you prioritize? Are there things that you can do to accelerate your strategies given the one big new bill act in case that helps with overall free cash flow allocation plans?
Robert Thomson: David, I think we've made very clear that we see three core drivers of the business. And that is Dow Jones, Digital Real Estate, and HarperCollins. And those businesses are traveling very well at the moment, and we will allocate cash accordingly. Thank you, Dave. Luke, we will take our next question, please.
Operator: Our next question will come from David Arvest with Macquarie. Please unmute your line and ask your question.
David Arvest: Yes. Thanks for taking my question. Look. I mean, kind of in the same vein as the prior question a little bit. But, you know, with the broad valuation de-ratings across your operating segments and your balance sheet, your cash generation, can you just remind us of your M&A strategy and maybe talk to areas of interest to what could be complementary to News Corporation? Or would the preference right now be kind of just to monitor AI developments and execute the buyback?
Robert Thomson: David, we have the option of optionality. We are constantly looking for investments externally that make sense for the business, but not at unreasonable prices. And you can see from our recent acquisitions, that's been precisely the case. We obviously invest organically where we see growth opportunities within the company, and then there's the buyback. And I'll pass to Lavanya for a little articulation of that.
Lavanya Chandrashekar: Yeah. Thank you, David, for that question. On the buybacks, we definitely evaluate this on a continuing basis. And we are focused on maximizing and driving shareholder value. As you would have seen from our announcement, we bought back $172 million worth of shares in the second quarter. At the current stock price, we expect the rate of purchases will be higher in the second half and the total dollars repurchased will be meaningfully more in the second half than in the first half.
Michael Florin: Thank you, David. Luke, we'll take our next question, please.
Operator: Our next question will come from Craig Huber with Huber Research. Please unmute your line and ask your question.
Craig Huber: Great. Thank you. Robert, this is a two-part question for you. I always like to ask you, has anything changed in your mind about investors' thoughts and wishes that you guys would help, you know, simplify your company here? It seems like you're doing a lot better fundamentally across the businesses here, but anything changed in your mind to help simplify the company any further here? And my added question I wanted to ask you was on homes.com out there in the marketplace, you know, versus realtor.com, you're doing quite well here recently with the revenue growth at realtor.com, roughly 10% type growth in revenues there. Is homes.com in the marketplace concerning you all given all the amount of money that they're putting in place to run that operation? Or is it having any negative effect on you? Worried about it? Are you doing anything significant to change your operation to combat that? Thank you both.
Robert Thomson: Craig, look, we're consciously constantly examining structure, and our focus is on generating value, long-term value for our shareholders. We have a robust balance sheet, strong free cash flow, positive growth trajectory, and as I said earlier, the option of optionality. As for homes.com, look, we're absolutely delighted with the progress at realtor, which is going from strength to strength. Look. And, obviously, homes.com is complicated. It's at least a fixer-upper. And while some people suggest that it's more of a knockdown, I think that comparison is a little unkind. For us, the focus is absolutely on realtor whose revival is real. And whose trajectory is particularly positive.
Lavanya Chandrashekar: Yeah. If I could just add to that, maybe some details on that. I mean, as Robert said in his remarks, I mean, we're really pleased with the engagement that we have seen on realtor.com. We have the highest engagement across all of the portals with five visits per unique user. We have gained audience share up to 29%, and when you look at our visits, we have three times the number of visits as homes.com, two times the number of visits as Redfin. And we've had the fastest revenue growth here in this last couple of quarters that we've seen in the last four years. And that's without the property market being meaningfully better, and we do know that the property market will recover, and so there's a very long successful runway here for realtor.
Michael Florin: Thank you, Craig. Thanks, Craig. Luke, we'll take our next question, please.
Operator: Yes. As a reminder, if you would like to ask a question, please use the raise hand functionality to put them in the queue. Our next question will come from Elsa Lee with UBS. Please unmute your line and ask your question.
Elsa Lee: Hi, Robert. Hi, Lavanya. Thank you for the question. My question is on circular revenue at Dow Jones. You've called out consumers and now rolling off promotional pricing which will be supportive of ARPU. Can you share any colors on how you're thinking about pricing growth going forward and maybe the balance between acquiring new subs versus ARPU?
Robert Thomson: Oh, look. Thank you for the question. The Dow Jones team has successfully secured a significant increase in enterprise customers, where we are incorporating WSJ content into the work streams of companies. Now those tend to be large deals with lower churn and significantly lower marketing costs, but obviously, in the shorter term, they will have a modest impact on ARPU. But the innovative subscription team at Dow Jones believes that we have genuine elasticity on price given our unique editorial experience. Our ability to track potentially vulnerable subscribers is improving each passing month, as is our ability to identify high usage subscribers who can be targeted with dynamic pricing that reflects the importance of their reading relationship with the journal. Now, obviously, our focus is on recurring revenues, but it should also be noted that digital advertising revenue rose 12% during the quarter compared to a year earlier and to a record high. So not only does Dow Jones have a growing audience, it has a very desirable digital demographic.
Lavanya Chandrashekar: Yeah. And maybe I'd add to that, Elsa. We did take price on digital new customers and on certain tenured customers here in the recent past. We're also working on optimizing a number of our promotions, and I do want to point out that excluding our enterprise customers, our ARPU has been improving at a healthy rate.
Michael Florin: Thanks, Elsa. Luke, we will take our next question, please.
Operator: At this time, we have no further questions. I will hand the call to Michael Florin for closing remarks.
Michael Florin: Well, great. Thank you all for participating today. Have a wonderful day, and we'll talk to you soon. Take care.